Operator: Good morning and welcome to the Second Quarter 2018 Conference Call for Graco, Inc. If you wish to access the replay for this call, you may do so by dialing 1-888-203-1112 within the United States or Canada. The dial-in number for international callers is 719-457-0820. The conference ID number is 4411660. The replay will be available through July 30, 2018. Graco has additional information available in a PowerPoint slide presentation which is available as part of the webcast player. At the request of the company, we will open the conference up for question-and-answer session after the opening remarks for management. During this call, various remarks may be made by management about their expectations, plans and prospects for the future. These remarks constitute forward-looking statements for the purposes of the Safe Harbor Provisions of the Private Securities Litigation Reform Act. Actual results may differ materially from those indicated as a result of various risk factors including those identified in item 1A of the company's 2017 Annual Report on Form 10-K and item 1A of the company's most recent Quarterly Report on Form 10-Q. These reports are available on the company's website at www.graco.com and the SEC website at www.sec.gov. Forward-looking statements reflect management's current views and speak only as of the time they are made. The company undertakes no obligation to update these statements in light of new information or future events. I will now turn the conference over to Caroline Chambers, Executive Vice President, Corporate Controller, and Information Systems. Please go ahead.
Caroline M. Chambers - Graco, Inc.: Good morning, everyone. I'm here this morning with Pat McHale and Mark Sheahan. Our conference call slides have been posted on our website and provide additional information that you may find helpful. A few of the key slides in our slide deck include page 4, which is an overall summary of our results; page 5, which shows the components of our net sales change, including the effects of currency and an overview of our sales by currency; and page 6 which provides a reconciliation of the change in operating earnings from the prior year. Individual segment pages are later in the deck. We saw strong sales in all segments with an increase of 6% from the prior year at constant exchange rates and without acquisitions. Growth in the Industrial segment was modest this quarter primarily due to the expected lower project base revenues this quarter as well as slightly lower order rates in EMEA. Sales from acquired operations totaled $11 million in the second quarter contributing 3 percentage points of growth. The effective currency translation also added 3 percentage points of growth to the top line this quarter. At current exchange rates, we will face currency headwinds during the second half of this year, largely offsetting the favorable currency impact that we experienced in the first half of 2018. The strengthening of the U.S. dollar especially against the Chinese RMB during the latter part of June also results in exchange losses on net assets of foreign operations of approximately $3 million this quarter. Reported net earnings totaled $89 million in the second quarter or $0.51 per diluted share. After adjusting for the impact of excess tax benefits from stock option exercises, net earnings totaled $83 million or $0.48 per diluted share. Gross margin rates remained strong, up slightly from the second quarter last year. The favorable effects of currency, translation and pricing were nearly offset by the unfavorable effect of lower gross margins from acquired operations, including a charge of $1 million related to purchase accounting inventory valuation and unfavorable product and channel mix. Factory performance continued to be strong during the second quarter as volume and cost improvement projects offset rising commodity and other costs. As our supplier contracts reset to the higher commodity prices, we expect to see increases in our costs. And while we expect to largely offset these cost increases during the second half of the year with efficiency and cost reduction projects, assuming current volumes and excluding the effect of tariffs, commodity and other cost increases are beginning to put more pressure on our factories. We are beginning to see and analyze the effect of increased tariff rates on raw materials and components sourced from foreign suppliers. The timing of the practical effects of the higher tariff rates for foreign sourced materials and components will be slightly slowed by inventory in the supply chain. There are a lot of moving pieces, such as the effect of higher tariff rates on materials within purchased items and the extent and timing of changes in supplier pricing to us. We also look at other sourcing options as well as other possible future changes to the categories of materials and components affected by the tariffs. Given these factors, it's difficult to make complete estimates for the remainder of this year or for next year. Based on the tariffs in place right now, our current estimate for the second half is that higher tariff rates could affect gross margins overall by approximately 0.5 percentage point. The effect could possibly double for 2019 . In effect, tariff increases will vary by product category. Operating expense increased by $12 million compared to the second quarter last year, including $2 million related to currency translation, $2 million from acquired operations, $4 million of increases in sales and earning based costs, and $1 million of market-driven share based compensation. I'll take a moment to walk through our tax rate this quarter. Our as reported tax rate was 15%, down 1 percentage point from the second quarter last year. Adjusted to exclude the impact of excess tax benefits related to stock option exercises, the effective income tax rate was approximately 21.5% in the second quarter, 9 percentage points lower than last year due to the net effects of the U.S. federal income tax reform legislation passed at the end of 2017. Cash flow from operations totaled $171 million year-to-date in 2018, compared to $136 million year-to-date last year. Share purchases, net of shares issued, totaled $152 million year-to-date 2018, and we may continue to make share repurchases on an opportunistic basis going forward. Capital expenditures totaled $27 million year-to-date in 2018. We expect usual capital expenditures for machinery and equipment of approximately $4 million (6:49) for the full year. And our current estimate for building projects to increase capacity for production and distribution is expected to be approximately $40 million this year. An additional $80 million to $100 million is expected to be invested in building projects in 2019 and 2020. Subsequent to the end of the quarter, we made a $40-million voluntary contribution to a U.S. qualified pension plan. We expect unallocated corporate expense to be approximately $28 million for the full year in 2018, unchanged from earlier full year estimate. Our expected tax rate for the third quarter and the full year 2018 is expected to be approximately 21% to 22%. Excluding any effect from excess tax benefits related to stock option exercises or other one-time items, such as the tax effects of the third quarter pension contribution. I'll turn the call over to Pat now for further segment and region discussion.
Patrick J. McHale - Graco, Inc.: Thank you, Caroline. Good morning, everyone. All of my comments this morning are on an organic constant currency basis. Caroline has covered the details on our second quarter and first half earnings adjustments, so any references to profitability will be on an as adjusted basis. It was a solid quarter and we delivered growth in every segment and every region, with the exception of EMEA, which was down low single digits. In EMEA, we experienced general demand softness across a number of product categories as well as weak project shipments. Looking ahead, we expect project activity to help us in the second half and anticipate EMEA's second half sales will support our outlook of mid-single-digit growth for EMEA for the full year. Moving on to the segments, Industrial, as expected, delivered low single-digit growth in the quarter, primarily due to the timing of finishing systems sales and other project activity. Industrial was up against a difficult comp from the second quarter of last year where we had double-digit growth. So we view this quarter as a favorable result against that backdrop. Our Process and Contractor segments delivered solid double-digit growth in the quarter and the first half. Underlying demand in our Process segment end markets remains positive. We continue to see increased activity in the areas of infrastructure investment, mining, semiconductor, and onshore oil and gas. In our Contractor segment, we continue to see positive double-digit out the door sales across both the paint store and home center channels. Turning now to our regions. I won't comment on EMEA as I covered that region earlier. In Asia Pacific, we delivered high-single digit growth, with growth in every segment. Year-to-date, growth in Asia is solid double digit and end markets appear to be holding up well at the moment. The Americas had double-digit growth in the quarter and year-to-date, led by our Process and Contractor segments. Demand in South and Central America remains soft. Moving on to profitability. Our incremental margins in the second quarter of 2017 were extremely strong, so profitability in the second quarter of 2018 was up against a difficult comp. Excluding foreign currency and acquisitions, incremental margins for the quarter and the first half were approximately 30% and 36% respectively, in line with our expectations for the full year. Contractor incremental margins remain light for the second quarter in the low 20s. But expense leverage in the segment was offset by unfavorable channel mix and higher sales incentive commission that rebate costs as a result of the volume – higher volumes. As Caroline mentioned, volume growth continues to help our factories offset material cost increases. Moving on to our outlook. Incoming order rates continue to meet our expectations as we head into the next quarter. We are expecting growth from every reportable segment. Other than the softness mentioned in EMEA, demand levels appear to be holding steady. Based on our performance in the first half, we're holding our full year 2018 outlook of mid to high single-digit growth. Although we anticipate second half pressures from tariffs, material costs, and currency, we are encouraged by the strong levels of demand in many of our key end markets. We feel confident that with the help of our employees and channel partners around the world, we'll have another strong year in both sales and earnings. Operator, we're ready for questions.
Operator: Thank you. The question-and-answer session will begin at this time. Our first question comes from Saree Boroditsky with Deutsche Bank.
Saree Boroditsky - Deutsche Bank Securities, Inc.: Good morning. I wanted to dig into your outlook for APAC for this year because your guidance implies a slowdown in the second half, but your end market outlook for APAC Process is more positive. So, could you just help us understand the puts and takes behind your guidance?
Patrick J. McHale - Graco, Inc.: Yeah. I would say our general outlook for Asia Pacific is that it should remain pretty solid through the back half of the year. We don't have any real specific concerns at this point. Business activity across the board seems pretty well. A little weak in Japan but pretty decent everywhere else.
Saree Boroditsky - Deutsche Bank Securities, Inc.: Do that imply there could be some conservative baked into the guidance?
Patrick J. McHale - Graco, Inc.: I don't know. We don't get that fine with our guidance.
Saree Boroditsky - Deutsche Bank Securities, Inc.: Okay. And then just given the likelihood that you're going to end the year close to a net cash position, could you provide an update on how you're thinking about capital allocation? And then, any additional color about how we should think about buybacks?
Patrick J. McHale - Graco, Inc.: Yeah. So, we really haven't changed our philosophy and our direction on capital allocation. We continue to invest in our factories. We've got some brick and mortar projects going on. Certainly we continue to pay a nice dividend and we evaluate that at the end of every year. And then in terms of the share buybacks, at current prices we have decided that we're going to be opportunistic which is really consistent with what we've done lately.
Saree Boroditsky - Deutsche Bank Securities, Inc.: Thank you. I'll pass it on.
Operator: Our next question comes from Joe Ritchie with Goldman Sachs.
Joe Ritchie - Goldman Sachs & Co. LLC: Thanks. Good morning, guys.
Patrick J. McHale - Graco, Inc.: Good morning.
Mark W. Sheahan - Graco, Inc.: Good morning.
Joe Ritchie - Goldman Sachs & Co. LLC: Can you maybe touch on the finishing system sales and the timing there? Was any of that like from an end market perspective auto related? And how do you see that playing out in the second half of the year?
Patrick J. McHale - Graco, Inc.: Yeah. There's a little auto in there but I think primarily it's on the Industrial side and it just tends to be lumpy. And we bought the power systems business back a few years ago and that added additional finishing systems to our portfolio, and systems just tend to be big and they come when they come. So, overall, order rates and demands for systems over the last couple years have been good, but they have created some noise quarter-to-quarter and I think everybody's just going to have to get used to that.
Joe Ritchie - Goldman Sachs & Co. LLC: That's fair enough, Pat. Maybe following up with Caroline on the 50 basis points of gross margin degradation that you guys expect or at least impact that you expect on the second half of the year from the tariff. Can you just give us a little bit more color like what went into that number, what are you guys baking in at this point? Any additional color would be helpful.
Caroline M. Chambers - Graco, Inc.: Yeah. We took a look based on tariff codes that have been announced so far and took a look at how our purchases fall into those codes and made some estimates of what inventory might be in the supply chain and when we might start to see some of those tariff codes. Of course, there's a lot of moving pieces. It seems as though that that can change every day and we don't know for sure when any suppliers might start to pass those tariffs on to us if it's not something that we directly import. So, it's an estimate but it's a pretty high level estimate at this point.
Joe Ritchie - Goldman Sachs & Co. LLC: Okay. Fair enough and if I could maybe sneak one more in. Pat, it sounds like things are going really well at this point with Contractor starting to see some signs of housing falling down a little bit. Maybe you can comment on that and whether you're seeing any of that as we've already started the third quarter.
Patrick J. McHale - Graco, Inc.: Yeah. I'm sure we look at the same data points. So, we're seeing and reading what you're reading. The business unit is not really concerned at this point. They're still seeing good demand for our products out there. Pricing of homes still seems to be going up. So there's some question in our mind how much of this is related to supply and demand versus people actually pulling their horns back. So I think we need to give it a couple of more quarters and see. But again at this point, we still feel pretty good about demand for our equipment.
Joe Ritchie - Goldman Sachs & Co. LLC: Okay. Fair enough. Thanks, guys.
Operator: We'll go next to Jeff Hammond with KeyBanc Capital Markets.
Jeffrey D. Hammond - KeyBanc Capital Markets, Inc.: Hey. Good morning, guys.
Patrick J. McHale - Graco, Inc.: Good morning.
Jeffrey D. Hammond - KeyBanc Capital Markets, Inc.: So just on – I guess, just to frame the 50-basis point headwind, should we look at you guys as having kind of your normal incrementals and then haircut the 50 basis points from there or do you expect some other offsets like additional price actions, et cetera?
Patrick J. McHale - Graco, Inc.: So the 50 points is on the gross margin. So you'll have to just do the math on that. And again, that's an estimated number at this point. Certainly, we'll do the things we can do within our factories to try to minimize the damage. And there's also another dynamic going on. I'm sure you're aware of with the devaluation of the RMB, and so how that's going to play into the whole equation is in question. I would assume that the Chinese manufacturers want to try to keep their business. And if they can devalue their currency, there may be some opportunities there for us to negate some of the overall impact on the tariffs. So, it's pretty squishy at this point. We just think that 50 basis points on the gross margin, it would be smart for you to put it in your model and we'll see how it plays out.
Jeffrey D. Hammond - KeyBanc Capital Markets, Inc.: Okay. And then any kind of additional price actions you've announced or you're considering to kind of directly combat those?
Patrick J. McHale - Graco, Inc.: No. We do annual price increase the first of the year and we review all of our product categories. We don't go at the blanket price increase. We review all of our product categories. We look at a number of variables, the differentiation we may or may not bring on a product category, what the competitive environment is, what's happening with the material costs and tariffs. So we'll look at it all and we'll implement in beginning of the year what we think the market will bear.
Jeffrey D. Hammond - KeyBanc Capital Markets, Inc.: Okay. And then, you did formally kind of raise your CapEx assumptions around some building products. Can you just talk more specifically what you're doing and what that adds from a capacity standpoint? Thanks.
Patrick J. McHale - Graco, Inc.: Yeah. So, we've got a number of facilities that have really been maxed out in terms of space with our growth over the course of the last couple years, and we've seen this coming and I think we've communicated it pretty well. But the actions around getting the actual construction projects underway are starting and you'll see those over the course of the next two or three years. And it's sort of a step function thing usually when we expand a facility, then we're good for a few years. And if we keep growing, then we've got to come back and hit it again. So where we build, we'll give ourselves some extra room, but we do have some things that we need to do.
Jeffrey D. Hammond - KeyBanc Capital Markets, Inc.: Okay. Thanks, Pat.
Operator: We'll go next to Deane Dray with RBC Capital Markets.
Deane Dray - RBC Capital Markets LLC: Thank you. Good morning, everyone, and welcome to Mark in the CFO seat.
Mark W. Sheahan - Graco, Inc.: Thank you.
Patrick J. McHale - Graco, Inc.: Good morning.
Deane Dray - RBC Capital Markets LLC: Hey, just to go back to the price question because it is interesting, out of all the companies this earnings season that are talking about the tariff pressures, the price cost equation comes up the whole time. And so you put a price increase in January, and that was before we started seeing the brunt of the tariff pressures. Can you remind us what that price component was, how much did you realize? And what's the tradeoff here of not being more proactive in trying to go after more price given the circumstances, because this is certainly outside of any kind of seasonal pressures that you might see?
Patrick J. McHale - Graco, Inc.: Yeah. So our realized pricing generally is in that 1.5% kind of range, and I don't think there was anything dramatically different about our price increases that we put forward in January. Some of those take a while to work through, so that's still early in the year. I'm not overly concerned, to be honest with you. We've got great factories and good cost reduction projects. Our high gross margins just mathematically put less pressure on us in terms of the material component of a revenue dollar than it does on probably folks that are in other sorts of businesses or industries. So we have a fighting chance, even given the environment, to continue to perform well. And I really like the consistency of the pricing programs that we have today. You throw a midyear in because things are going the right way, and then things go the other way and then what you do, put in a midyear reduction or do you skip a year. So, we got sort of a cadence. Our distribution channel has to actually go through a lot of work when we implement a price increase. We got thousands of part numbers. They've got to go into their systems and update them all. We got to do the same thing. It's a lot of screwing around to save a few bucks over the course of a few months and I think that our program has worked really well over the years. So, we stuck to it and we plan to do that.
Deane Dray - RBC Capital Markets LLC: Good. And look, I will tell you that one of the companies yesterday, Pentair, had the exact same discussion of why they were sticking to their annual increase and not disrupt their dealer networks and not disrupt customers. So, we certainly have heard that position. And maybe just – this is a related question, is – Graco is unique among the industrials that we follow certainly in terms of your concentration of manufacturing in the U.S. Now that has certain advantages but it also has disadvantages in this environment with tariffs. Has this caused you to rethink at all? And maybe this is a rhetorical question but just the idea that you were particularly more exposed than the companies that have natural hedges where you have manufacturing in these regions that they sell into.
Patrick J. McHale - Graco, Inc.: Yeah. We've always been pretty focused on total cost and where we put our facilities, and logistics, and transportation, and communication, and speed to market, and quality, and everything else. So, it's a pretty thorough analysis that we do when we decide where we want to produce product. Of course, any political things or tariff things are going to factor into that but they're only going to be one element in the overall model. In terms of advantage, disadvantage during this time, we've got half or more of our sales are here in the U.S. and having factories here I think is not necessarily a negative in this environment. And certainly we will be sourcing some components and raw materials from overseas, but we may have choices going forward in terms of what we want to do there. And if we were manufacturing all overseas and bringing completed products in, depending upon which tariff codes they were in, we could be getting hit a lot harder on our U.S. revenue than we're going to be because our factories are here. So, I think there are some puts and takes to it. And again, I think overall our model works and we're very focused on total cost and we'll continue to be.
Deane Dray - RBC Capital Markets LLC: That's a really helpful explanation. Just last question, it's a follow-up to Joe's question. Your answer was really interesting about trying to reconcile the double-digit Contractor growth with what we're seeing in housing, the builders, the building products, all of those are – the stocks are getting rocked and I think that's what you were mentioning about pulling horns and de-risking. But just the incremental demand, are you not seeing any change on the Contractor side?
Patrick J. McHale - Graco, Inc.: Second quarter, out the door sales in both paint store and home center channel were double digits, so – and we just had our operating review with the division and we're feeling pretty good about the back half of the year. Recognizing in a lot of areas of the country, labor is getting pretty tight. And so, as these folks want to get jobs done, they need to be productive and we can't quantify that but we hear that and believe that that is probably a dynamic that is also in our favor.
Deane Dray - RBC Capital Markets LLC: That's good color. Thank you very much.
Patrick J. McHale - Graco, Inc.: Yes.
Operator: We'll go next to Michael Halloran with Robert W. Baird.
Michael Halloran - Robert W. Baird & Co., Inc.: Morning, everyone.
Mark W. Sheahan - Graco, Inc.: Good morning.
Patrick J. McHale - Graco, Inc.: Morning, Mike.
Michael Halloran - Robert W. Baird & Co., Inc.: Just one quick one for me here. Looking at Europe and the EMEA region in general, stripping out the project activity, the finishing variability that makes a lot of sense, how would you characterize the environment underneath that, the more steady states stuff, was that a little weaker in the quarter? Any thoughts moving forward on that side?
Patrick J. McHale - Graco, Inc.: Yeah. For us, it was definitely just underlying demand was a little bit weaker in the quarter, weaker than we would have expected. And I'm not really sure why. We tend not to get too jumpy quarter-to-quarter because things can move around but it's something definitely going into the second half here that we are tuned into and we'll be watching. Again, I think that the project activity that we will have in the second half is going to allow us to do just fine in EMEA over the course of the second half and meet our projections there. But yeah, it's a little bit concerning to see that softness that we saw just generally across the board in the second quarter and we're going to be watching that.
Michael Halloran - Robert W. Baird & Co., Inc.: Makes sense. Thanks, Pat.
Patrick J. McHale - Graco, Inc.: Yes.
Operator: We'll go next to Charley Brady with SunTrust Robinson Humphrey.
Charles Brady - SunTrust Robinson Humphrey, Inc.: Hey. Hi. Thanks. Good morning. And again Mark, welcome back to the call. Just a quick one on the commentary on the mix I guess in Contractor. Is that more a function of the usual pro paint versus home center? Or is it more granular in terms of within that the mix of the sort of low, medium, high, which I guess also plays into that larger mix? So, I'm just trying to get a little more granular on kind of where you see the mix on the on the Contractor side now, and has it changed much in the past six months or so?
Caroline M. Chambers - Graco, Inc.: I don't think it's changed much and it continued to be more of the mix between homes center and Pro paint.
Charles Brady - SunTrust Robinson Humphrey, Inc.: Thanks.
Operator: We'll go next to Brett Kearney with Gabelli & Company.
Brett Kearney - Gabelli & Company, Inc.: Hi, guys. Thanks for taking my question.
Patrick J. McHale - Graco, Inc.: Brett, good morning.
Brett Kearney - Gabelli & Company, Inc.: I just want to ask whether you're seeing anything interesting in your M&A funnel at this point. Obviously, you guys have great internal product development opportunities but just want to get a sense for whether there's any areas of focus inorganically for you here.
Patrick J. McHale - Graco, Inc.: Yeah, we've got a team that's working on that. I'll tell you, one thing we're seeing is we're seeing people paying a lot of money for deals. So that's a concern. We don't want to go crazy out there, and we're trying to be disciplined when it comes to our model and we're going to continue to do that. While it would be nice to get some bigger things done, I think in this high-multiple environment, that becomes less likely for us. And the deals that we do get done, I would anticipate over the course of the next year. So, it tend to be towards the smaller size deals that we can source, maybe we build some relationships where we have some particular synergies that allow us to be successful in an environment where people seem to be paying teens multiples to get deals done.
Brett Kearney - Gabelli & Company, Inc.: Great. Thank you.
Patrick J. McHale - Graco, Inc.: Yes.
Operator: We'll go next to Matt Summerville with D.A. Davidson.
Matt J. Summerville - D.A. Davidson & Co.: Thanks. Just a couple of additional ones, on the tariff side of things, the estimate 50 bps in the back half of the year may be upwards of 119. Understanding that that's a rough cut, should that type of number be applied evenly across all three businesses, or would you say one reportable segment may be more exposed than the others?
Patrick J. McHale - Graco, Inc.: Yeah. That's a good question. We probably haven't sliced it in enough scale to give you the answer to that. Certainly, I do know some product categories within business units will get hit harder than others, but I haven't rolled up by product category, by segment what that's going to look like. So, I think for now, probably just peanut butter spread it and as things play out here over the back half of the year, we'll try to bring some more clarity to that.
Matt J. Summerville - D.A. Davidson & Co.: In the second quarter, Pat, was the book-to-bill in your Industrial business positive and if you're willing to disclose it, would you let us know what that is?
Patrick J. McHale - Graco, Inc.: We generally don't share a lot of book-to-bill information. It just lead us down a rabbit hole, right, then we do it for one business and then we got to do it for the rest, and then we do it this quarter, we got to do it next quarter. So, what I would say is the underlying demand environment across our business units, we think is pretty decent. We think the end markets are pretty good and we feel comfortable with our outlook for the full year. So, I think that gives you what you need.
Matt J. Summerville - D.A. Davidson & Co.: And then just lastly, have you seen customers' views towards capital spending plans change in light of this tariff environment? Are customers talking about trying to get things done faster, maybe pausing on things, or any discussions like that happening at this point?
Patrick J. McHale - Graco, Inc.: I haven't seen or heard a whole lot of that. It's interesting. Even in the categories that are going to get hit hard, there's enough (28:08) capacity to bring all the manufacturing back here tomorrow, right. So, this is a long game. And I think companies are going to wait to see how it plays out before they run out and build a factory because their overseas competitor got a tariff slapped on them. You start to build a big factory to build something here to increase the U.S. capacity because somebody else got a tariff and then a month later something changes and you've got a big project underway and you've got nothing to fill the building up. So, I'm going to guess that there's a lot of wait and see going on. I don't know. Mark's been out and about a bit. I'll let Mark chime in if he's got any comments.
Mark W. Sheahan - Graco, Inc.: I agree with that. I think that from what I see and what I've been seeing and hearing, the only thing is that there are some issues with regard to putting up new buildings and are they going to have enough steel capacity and get things on the ground and up and running. It hasn't been, hey, I'm going to delay now because of these tariff impacts. So, I think it's pretty muted at this point.
Matt J. Summerville - D.A. Davidson & Co.: Thanks, guys.
Patrick J. McHale - Graco, Inc.: Yes.
Operator: We'll go next to Walter Liptak with Seaport Global.
Walter Scott Liptak - Seaport Global Securities LLC: Hi. Thanks. Good morning, guys.
Patrick J. McHale - Graco, Inc.: Yes. Good morning.
Walter Scott Liptak - Seaport Global Securities LLC: Good morning. So, I just want to understand a little bit more about your view on the tariffs. And it sounds like it's more of a price cost issue than any sort of a demand issue from your customers or any sort of a supply chain issue for you because you manufacture in the U.S. Is that fair? And I wonder if you think if it is just price costs, are you seeing any changes in Europe or in Asia related to tariffs or even just discussions of tariffs?
Patrick J. McHale - Graco, Inc.: So I think it is price cost right now. The big question mark is that what happens and to what extent and how does that affect the global economy. And there definitely will be impacts plus and minus in different parts of the world, in different product categories, maybe even to global GDP. But I think it's impossible for anybody to quantify it right now. Everybody is going to have to make their best guess on how this is all going to play out but I think there's a lot of chess moves left. And so, my standpoint is it's really is a price cost issue and we need to have a little bit of patience here.
Walter Scott Liptak - Seaport Global Securities LLC: Okay. Great. And then, going back to the capital spending question, we were out visiting the facility this quarter. We were really impressed by some of the automation and robotics that you guys are putting in, and I wondered – obviously, what kind of returns are you expecting on some of those projects? What's been your experience with automation?
Patrick J. McHale - Graco, Inc.: So the brick-and-mortar projects of course are squarely we try to give you an ROI. But on most of our machinery and equipment, whether it's the CNC machines or our robotic automation, we rarely approve anything that doesn't have a 15% cash on cash return and typically we're probably up in the low 20s.
Walter Scott Liptak - Seaport Global Securities LLC: Okay. Great. All right. Thank you.
Operator: We'll go next to Liam Burke with B. Riley FBR.
Liam Burke - B. Riley FBR, Inc.: Yeah. Thank you. Good morning. Pat, how is the flow of new product introductions been going and are you still providing a strong ROI proposition as they enter the channel?
Patrick J. McHale - Graco, Inc.: We feel pretty good about the new product flow. Our Contractor launch this year was a little bit light. To make up for that, we launched early and we got our whole sales team all set in December and we hit the streets hard on January 1, where sometimes our Contractor launch will spill into the – later into the first and early into the second quarter. So the products were a little bit light this year just because of the timing. But we're doing really well with those. I think the other divisions are more consistent year-to-year and don't have as many of the ups and downs based upon the size of the project we take on. But the pipeline looks good, Contractors got a nice lineup coming for 2019. And in general, I feel pretty good about both the returns and the velocity of our new product program here.
Liam Burke - B. Riley FBR, Inc.: Great. Thank you, Pat.
Patrick J. McHale - Graco, Inc.: Yes.
Operator: And we have no further questions at this time. I'll turn the conference back to Pat McHale.
Patrick J. McHale - Graco, Inc.: All right, I guess that's it. We'll keep doing our job and we'll catch you in three months. Thank you.
Operator: That does conclude today's conference. Thank you all for your participation. You may now disconnect.